Operator: Good afternoon, everyone, and welcome to the Kopin Corporation Second Quarter 2023 Earnings Call. Please note that this event is being recorded. At this time, I'd like to turn the conference call over to Clint Kalinin [ph], Investor Relations for Kopin. Please go ahead.
Unidentified Company Representative : Good afternoon, everyone. Before we get started, I'd like to remind everyone that during today's call taking place on Thursday, August 11, 2023, we will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the company's current expectations, projections, beliefs, and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include but are not limited to, demand for our products, operating results of our subsidiaries, market conditions, and other factors discussed in our most recent annual report on Form 10-K and other documents filed with the Securities and Exchange Commission. Although the company believes that the assumptions underlying these statements are reasonable, any of them can be proven inaccurate and there could be no assurances that the results will be realized.  The company undertakes no obligation to update the forward-looking statements made during today's call. In addition, references may be made to certain non-Generally Accepted Accounting Principles or non-GAAP measures for which you should refer to the appropriate disclaimers and reconciliation in the company's SEC filings and press releases. Kopin Corporation's Chief Executive Officer, Michael Murray will begin today's call with an overview of Kopin's progress within the company's strategy. Following Michael, Kopin's CFO, Rich Sneider will review the company's first quarter results. I would now like to turn the conference call over to Michael Murray.
Michael Murray: Thank you, Quinn. Good afternoon to everyone and welcome to our second quarter earnings call. I'm proud to announce we turned in $10.5 million in revenue for the quarter, which is also our third consecutive positive book-to-bill quarter. And with our recent announcement of an approximate $12.8 million order, our third quarter book-to-bill is off to a very good start.  I do want to highlight that beyond revenue, we were successful in our disciplined operations and managing the factors that were within our control, and within our transformation plan. I would also like to briefly discuss two areas in the P&L, the first of which is elevated legal costs, a portion of which is associated with our new patents and trademark development, but mostly due to litigation, which began in 2016. Details of the litigation are discussed in our recent 10-Ks and 10-Qs. But in summary, we are scheduled for trial in the first quarter of 2024, and we remain confident in our position. The second item was a $3.3 million non-cash charge related to our equity investments whose evaluations we review quarterly. These two items on the P&L had a significant negative impact on earnings per share. Without these items, our loss would have been approximately $2.9 million or $0.03 a share. For reference, this compares favorably to our second quarter of 2022 earnings per share loss of $0.06. This quarter is another data point that we are continuously improving the core operations significantly.  Again, outside of these items, our operations showed significant improvement and we remain hyper-focused on controlling what we can control, with regard to our strategic initiatives, operational discipline, and growth objectives. Since we spoke last, we have gained several new investors recently. And for those who are unfamiliar with Kopin, I'll briefly remind everyone who Kopin is, what we do, and who we sell to. After that brief overview, I will touch on some strategic initiatives and discuss this last quarter and some opportunities on the horizon, before turning the call over to Rich. Now, for those new to Kopin, we design and manufacture several different types of MicroDisplays including our proprietary AMLCD technology, our broad portfolio of OLED Displays, our FO cost displays, and our recently announced MicroLED technology.  Now what makes Kopin unique and valued by our customers is our ability to couple these types of display technologies with advanced optics, driver electronics, and housings to solve our customers' needs in defense, commercial, and consumer applications. We believe we were the only company with the core capabilities and competencies in each of these display technologies, enabling us to objectively provide the right solutions for our customers.  Our products are the overlay of critical digital information on the analog world, and we continue to see the adoption and application of objects continue to broaden as new industries are discovering ways to use these technologies to improve their end customer's user experience. Kopin is at the forefront of optical advancements, creating innovative technologies that have enhanced how people interact in their environment, both real and virtual. Today, Kopin applies this expertise as a vital supplier for many of the world's largest defense contractors. Now still, we also look to capitalize on consumer, automotive, medical, and industrial opportunities as they adopt these technologies as well. Touching on some of our strategic priorities, we saw tremendous improvement in our quality measurements last quarter, which we refer to as on time in full or OTIF for short. OTIF measures how often we deliver products to a customer on time in total and without any quality issues as judged by the customer.  This focus on quality ultimately leads to a more profitable Kopin by improving margins, higher customer satisfaction, and repeat in future business. We continue to see dividends from the focus in the second quarter of this year as our product cost stayed low, our incoming inspection improved and our supply chain continue to normalize.  We expect further improvements ahead as we increase volumes, automate manual processes, and improve absorption rates. And we continue to focus on total cost management. Much of our manufacturing takes place within our Class 100 cleanroom. The cleanliness of the error within our manufacturing facility greatly impacts our ability to keep product quality high. During the quarter, we saw improvements in air quality as we installed several new pieces of equipment and implemented some further operational changes. I'm happy to report that our on-time and full rates are now in the 90% range on a consistent basis. Consistency in this area is greatly important and contributes to our customer's happiness and ultimately the amount of their business Kopin receives. Higher on-time and full rates also allow Kopin to operate more efficiently, requiring fewer touchpoints by our employees and less yield and quality losses. Now, indeed, we have more to improve upon and accomplish. However, I am proud of our team and our progress over the first six months of 2023, and I'm greatly encouraged by the positive comments received from our top customers that they are experiencing a much improved, reliable, and customer-focused Kopin.  Cost discipline remains a priority as well, beyond quality improvements. We continue to scrutinize internal R&D projects and the profitability of any funded R&D we take on. We began to see returns on this new approach to funded R&D as profitability in this area dramatically improved relative to 2022.  Internal R&D expenses remain low relative to past periods as we formalize the R&D investment criterion, investing only in projects with a high probability of success, and sustainability and that offer more than just a great display, which we still make. Reducing R&D spend doesn't imply that Kopin will not stay on the forefront of display and optical technology, but rather that our efforts are directed to those projects with the best chances of success, value creation, and capture. An excellent example of our new approach is the partnership with the MIT Computer Science and Artificial Intelligence Laboratory or CSAIL for short. We announced this in the second quarter. The goal of this program is to integrate AI capabilities into our products to solve the problems, which have been limiting the success of AR and VR products.  This activity will augment current research and developments in these areas of displays, optics, software, and algorithms. By joining MIT, CSAIL program, Kopin becomes part of an [ph] elect. group of members in non-competitive markets that share information, and capabilities for functional integration and deployment of application-specific AI capabilities that bring additional value to the products we design and manufacture.  We look forward to actively participating in this group and we will help improve our solutions and solve several of the human centered computing issues of today. Joining this organization also brings Kopin full circle having been spun out of MIT almost 40 years ago. Now I will provide some updates on key programs since the last time we spoke and some opportunities we see on the horizon. As per our previous calls, Kopin is unique in that our OLED backplane technology does not require a custom deposition process. This allows us to utilize multiple deposition fabrication strategies globally. Within the quarter, we announced new agreements for OLED deposition, which utilize U.S. DoD approved vendors. I highlight this announcement as this event has been misunderstood by some in the investment community. So, to clarify, by adding these new vendors, Kopin can support U.S. DoD customers with our current and broad portfolio and future OLED devices. At the same time for our non-DoD OLED customers, we will continue to work with our existing OLED deposition partner in Asia.  This dual strategy enables us to provide the lowest possible cost to our customers in automotive, consumer, industrial, and medical markets, while also supporting our U.S. DoD sovereign supply chain requirements. With recent shifts and competitive landscapes, we are seeing a dramatic uplift in both consumer and defense opportunities alike due to this strategy.  In early June, Kopin introduced our first micro LED display. This micro LED is an ultra-high definition monochrome version that provides millions of nits of brightness. It's difficult to describe just how bright a display with several million nits of brightness is, and it's truly a wonder of engineering achievement. By comparison, many of the new AR VR headsets that use OLED displays as an example, only offer 5,000 to 10,000 nits of brightness. And these manufacturers of the devices recognize that to offer better brightness, contrast, thinner and lighter weight designs a much stronger light engine and bespoke optics are required.  We believe micro LEDs will enable these key requirements and bespoke optical solutions, and they are the future of wearable display technology. Kopin is undoubtedly the vanguard of micro LED development as we continue to develop our color micro LED display portfolio. Earlier this week, we announced a follow-on order for one of our IP sub-assemblies to a Department of Defense prime contractor that integrates our IPS into a sophisticated video AR module. This $12.8 million follow-on order represents a significant increase in year-over-year volume and revenue from the strategic customer, and we expect further additional follow on orders for the same product as well.  This order is the result of improved customer engagement, program management focus, and on-time and full processes, and a great customer who's been patient and supportive of Kopin and our transformation plan. Recently, Kopin has been informed of our success and being down-selected for several new dismounted soldier projects. We are now in the final stages of submitting formal proposals and we expect to receive feedback on those strategic pursuits in the next few quarters.  Turning to our General Dynamics armored vehicle upgrade program to remind folks this program is in the final quality review process, which is called Production Part Approval Process, or PPAP for short, and we expect this program to be significant revenue for Kopin. The program continues to progress well and is a perfect example of the parenting advantage Kopin can bring to our customers. In this specific case, we were selected for the program because we were able to offer the right system technology for the application.  In this specific use case, the best display was an FO cost display developed by our team at fourth Dimension display in Scotland. The drive electronics and optics were developed at Kopin in Westborough, Massachusetts, and the complete system prototypes were developed and designed by our talented team of NVIS in Virginia.  The final system will be built at Kopin in Westborough, and this assembly sells for tens of thousands of dollars each. And there are several assemblies per vehicle multiplied by several thousand vehicles, which we expect to be upgraded equates to well over 100 million in potential revenue for this program over the period of performance once in production.  Now, turning from land systems to air systems, our low-rate initial production or LRIP, rotary wing and fighter aircraft helmet, and OLED programs remain on track, and we expect several successful milestones in the coming quarters. Furthermore, we can see -- we are continuing to see strong demand in military training and simulation markets with both new and repeat orders for a variety of products serving this market. Now, training proceeds deployment, and the broader issues in Europe, among other regions are driving increased demand for these products.  Turning to the 3D AOI market, we continue to experience weaker demand in the Chinese commodities, semiconductor, and industrial sectors. We expect this part of the market to remain weak through the remainder of the year. There are modest demand signals from our high-performance customers, though, however, in Europe and the Americas.  Lastly, we continue to experience increased customer design and proposal demands in both defense and consumer markets. With recent consumer announcements in AR, VR headsets, and continued human-centric issues, slowing higher adoption rates in both markets, customers are turning to Kopin to help them solve some of the most significant application-specific human-centric issues their end users are experiencing.  Kopin has decades of experience solving these specific issues relating to optically induced nausea, comfort, and performance of head and helmet-worn systems. We expect these efforts will result in new business with current and new customers as we introduce exciting new technologies in these areas in the very near future.  So now, I'll turn the call over to our CFO, Rich Sneider to review our results in further detail. Rich, over to you. 
Rich Sneider: Thank you, Michael. Turning to our financial results, total revenues from Q2 2023 were $10.5 million versus $11.9 million for the prior year, a 12% decrease year-over-year. Product revenues for the first quarter into July 1st, 2023 were $6 million compared with $9 million for the second quarter ended June 25th, 2022, a 33% decrease year-over-year. Decrease in product revenue was driven by a $2 million or 28% decrease in defense revenues and $749,000 or 43% decrease in industrial revenues over the prior year.  As we previously announced, we have an additional $12.8 million order for defense, and we're reviewing lead times on materials to understand the potential positive impact on Q4 2023 revenues. Regarding industrial products, revenues we believe that lower -- they will be lower due to left demand from China. Funded research and development revenues were $3.9 million for the second quarter of 2023 compared to $2.8 million for the second quarter of 2022, a 39% increase. The increase in funded R&D was largely due to an increase in funding for displaces initially used in U.S. defense programs.  Cost of goods sold for the second quarter of 2023 was $5.7 million or 95% of product revenues compared with $7.9 million or 88% of second quarter last year. The increase in cost of product revenues as a percent of product revenues was the result of lower efficiencies from reduced product sales volumes, as well as year-over-year increase in non-cash stock compensation of $415,000, excluding the increase in stock compensation costs, cost of product revenues would've been 88% of net product revenue. R&D expenses in the second quarter of 2023 were $3.1 million compared with $5.1 million during the second quarter of 2022, a 39% decrease year-over-year. Funded R&D expenses for Q2 2023 was $2.2 million as compared to $3.2 million for Q2 2022. The decrease in expense was of certain U.S. defense programs moving to production and a reduction of some of the funded OLED development costs, due to the spin-out in the first quarter of 2023 of certain OLED activities to lightning silicon.  Internal R&D expense for Q2 2023 was $939,000, as compared to $2 million in the first quarter of 2022. The decrease in expenses was a result of decrease in OLED development activities and more stringent criteria for IR&D programs that Michael spoke up earlier. SG&A expenses were $6.5 million in the second quarter of 2023, compared to $4.3 million in the second quarter of 2022. The SG&A increases for the three months ended July 1st, 2023 as compared to three months ended June 25th, 2022 was primarily due to legal expenses of approximately $2.4 million for the second quarter of 2023, as compared to approximately $200,000 for the second quarter of 2022 and bad debt expense of approximately $300,000 for the second quarter of 2023, as compared to bad debt recoveries of approximately $200,000 for the second quarter of 2022.  These increases were partially offset by lower information technology spending of approximately a $100,000 for the second quarter of 2023, as compared to $200,000 for the second quarter of 2022. And post-retirement benefits, which were zero in the second quarter of 2023, as compared to $200,000 the second quarter of 2022. Other expense was approximately $3.3 million for the second quarter of 2023 compared with $141,000 for the second quarter of 2022. In the second quarter of 2023, we recorded foreign currency losses of $236,000. And a non-cash impairment loss on equity investments of $3.3 million. Turning to the bottom-line. The net loss attributable to Kopin during the second quarter was approximately $8.2 million or $0.07 per share, compared with $5.6 million or $0.06 per share in the second quarter of 2022. Net cash used in operating activities for the three months ended July 1st, 2023 was approximately $3.8 million. Kopin's cash and marketable securities were approximately $25.7 million at July 1st, 2023 as compared to $12.6 million at December 31, 2022.  We have no long-term debt. The amounts has got above or base on our current estimates and listeners should review our final form 10-Q for the quarter ended July 1st, 2023 for any possible changes, and of course for additional disclosures. And with that, I'll turn it back over for to Michael for closing remarks, and then we will take questions.
Michael Murray: Thanks Rich. Our focus continues to be on strengthening the order book. Achieving higher on-time and full rates, cost controls, and making the strategic investments in products and people, which in the aggregate will improve cash flow and provide long-term sustainable profitability and growth. Lastly, yet most importantly, we are fortunate to have world-leading and market-making customers, who are supporting Kopin during this transformational period.  Due to our quality improvements over the past over the past several quarters, additional executive management focus on strategic customer relationships and the addition of experienced business development program managers. Kopin is now being invited into larger design opportunities that will allow us to move up the value chain within our customer's applications, solving more of their technical challenges and increasing Kopin content in their designs. I'd like to thank everyone for your time today and for showing interest in Kopin. I'd like to thank our employees and our stakeholders for their hard work and dedication. With the continued work of our team here at Kopin, I think we can achieve great things and grow the business to new heights.  And with that operator, we'll now offer some time to take some questions. 
Operator: [Operator Instructions]. Our first question comes from Matthew Sheerin of Stifel.
Matt Sheerin: A couple questions. Michael, just on the revenue side, you talked about a lot of the opportunities. It sounds like those are opportunities two or three quarters out, particularly that new $12.8 million program you talked about. But how should we think about the next quarter or two in terms of top-line, are you expecting sort of a similar revenue profile or would there be some recovery in the back half of the year? 
Michael Murray : So, the question was, how would we think about Q3 and Q4 with the $12.8 million order as well as the market dynamics? So, in our best estimates, Q3 looks about the same revenue profile. We're currently working the order that we just received to see what we can pull in because they do invite early deliveries. So, we're working our supply chain on that. We do see potential uplift in our Q4 revenues from that order, as well as some other pulling that we're hearing from the training and simulation market. 
Matt Sheerin: Okay, great. And you talked about the revenue breakdown R&D versus product and R&D has been growing and product has gone the other way. At what time do you -- at what point, do you expect that to shift as some of those R&D pilot programs go to full volume? And is there any impact on gross margin or operating margin? When it goes to sort of a full volume contract basis? 
Michael Murray : Indeed. So, we have a number, we have several projects going from funded research and development into -- in the latter half of this year, in the beginning of 2024. We do believe that those programs, as they transition through, not only will they have a revenue impact in terms of increase, but we do expect some operational expenses at the beginning of the first quarter to support those. However, the margins of those programs should consume that operational expense just fine.  So, there will be a transition from funded research and development in Q4 and Q1 into production as those -- products actually hit production. Does that answer your question? 
Matt Sheerin: Yes. That’s helpful. And then below the line, just some questions on the expense line that legal, those legal fees $2.4 million, how should we think about over the next couple of quarters? It sounds like you said it's going to go to trial early next year, so I would expect expenses may even go higher. And if you go to trial and win, can you recover those legal costs? 
Michael Murray: I think the legal costs that we're seeing right now for this quarter were larger than what we had expected. I won't go into why, but I think they will normalize back to the previous type of expense that you've been seeing from us after Q1. But I think in Q3 and Q4, I don't think the cost will go higher than what you saw in Q2.  We also had some trademarking and patenting in the period and we will have a little bit of that in Q3 as well which did add to the expense. But we think we are in a good place with that lawsuit and we're expecting to be victorious in that position in Q1. Whether or not we can, um, recoup our legal fees. I don't know hard to say at this point. 
Matt Sheerin: Okay. So, just to confirm then the OpEx should be -- we should be thinking about $6 million or above for the next couple of quarters and then going down after that. Is that fair? 
Michael Murray : I think that's fair. I think it will come down in Q3 anyway is what our sense is currently, but it won't be by much. So, I think it's a fair statement. 
Matt Sheerin: Great. And offsetting that was -- your gross margin was up significantly quarter-on-quarter and year-over-year. Is that also sustainable as we get through the next couple of quarters or with some of those programs ramping? Could there be some margin pressure there? 
Michael Murray : We have worked with several of our customers to increase our prices. So, I believe our gross margins will remain stable and increase over time. The reason why is we've gone back to some of our customers where there's been scope creep, there's been no inflation increases or there's been acceptance criteria that we needed to charge for. And for the most part, we've been successful where it made sense. So, I believe our margins will continue to increase to a reasonable level, and therefore so will our profitability. 
Matt Sheerin: Okay great. Thanks very much.
Michael Murray : Thank you. Matt.
Operator: The next question comes from Glenn Mattson of Ladenburg Thalmann. 
Glenn Mattson: Hey, thanks for taking the question. So, congrats on the $12.8 million order that was nice to see. But and I want to talk about that a little bit further, but before we get to that, just a little more detail on the product revenue, and kind of although the total top line came in line, it felt like the product revenue was a little lighter than what I would've expected.  And I'm trying to think about the number of programs, some of which have moved into LRIP, and some of which are full production, and just kind of get a sense of having any of those. And I realize these, they could be lumpy from time to time, but it sounds like there's a quarter or two here where it's a little softer. So, I'm just curious if it's -- if there's just some cadence of order flow in that front or some more color, that'd be great. 
Michael Murray : Sure. So, there's no change in demand. Let me be clear on that. Our customers are not communicating any changes in demand. There are from time-to-time material issues and or push-ins push out because of our customer's -- customer requirements either through testing, qualification, or quality issues down the line outside of Kopin.  So, we did see some of that in Q2 where some of our customers were asking us to hold on while their end customer had either quality or timeliness issues because we are a small system and a subsystem of a larger system if that makes sense. So, I think the main thing, Glenn, moving forward in Q3 and Q4, there is no changes in demand. In fact, demand is moving in our favor into Q4 with this larger order.  I think it's important to note that, early deliveries are requested in supported. So, I think we can do better in the second half of the year. And I think there was also in Q2 a mix change, where we were doing a little bit more of international business and focusing in on that versus that of more of the U.S. DoD type of product lines. So, that's why you saw a bit of change in the profitability, as well as the overall revenue. Rich, anything you want to add to that?
Rich Sneider: No. I think that -- but the point is that it is somewhat counterintuitive that, we saw defense revenues decline when in fact our order book for defense is probably the best it's been in several years. So, as Michael indicated, we are not always the captain of our own fate. We do get comments from our customers asking us to hold shipments or whatever have you, for whole varieties outside our control.
Glenn Mattson: Great. Thanks for that color. Moving on to the large order you announced yesterday. It's a little more detail and maybe you can't because it's maybe a program that you are not allowed to discuss that much. But it reads that the headline is the thermal weapons. So, but then you talked about it as kind of a video AR, -- optics.  Is this something you have seen revenue from before, or is this a new program or just an offshoot of existing one? Can you just give us a color there?
Michael Murray : Sure. Existing programs, existing customers and they are seeing, what I believe is increased demand on their side. And so, therefore, we are seeing it as well. That's all I can say.
Glenn Mattson: Okay. Great that's over from me.
Michael Murray : Thank you.
Operator: Thank you. The next question comes from Kevin Dede of H.C. Wainwright.
Kevin Dede: Good afternoon, gentlemen. Thanks for having me. Michael, back to Glenn's question on -- this most recent thermal weapon site order. $12.8 million, I think you noted as being the largest of three. I was just wondering or actually, no, the most recent of three, but I'm wondering if it's the largest. And I guess how long you would expect it would take Kopin to work through it from a sales perspective.
Michael Murray : Sure. Our view is that this is a significant year-over-year volume increase for us, roughly speaking, about 40% year-over-year increased volume. Therefore, that equates to the same revenue, roughly speaking. And we believe that the period of performance for this order will start Q4 of this year into 2024 and be concluded in 2024 is what the customer is requesting of us.  And the customer has requested as many units as they can get as soon as they can get them. So, that's great news for Kopin. So, we will be looking at how we can increase volumes and production in the facility here to support our customer's mission in that case.
Kevin Dede: Helpful. Thank you, Michael. Looking at the Abrams PPAP. Can you offer a little more insight on the that goes to, I imagine the next step is -- and then from there, full production and how we might address timing to that $100 million total addressable contract market you referenced? 
Michael Murray : Sure. So, we've hit our milestones thus far. We expect to hit the milestones in front of us throughout this year. We'll gain more clarity into our end customer's plans. Now, the PPAP is essentially what we would consider --. It's the last stage of their quality review, and it's more of an automotive standard, which is good for us because that sets us up for other automotive business or other armored vehicle business, which is great.  But we'll have more visibility, I'd say in the next couple of quarters as to what their program management team is going to be requiring for implementation of the upgrades. So, it's a little bit murky right now. I don't have a clear answer for you other than to say, we're still hitting our marks and our milestones on that process. And it's going great. 
Kevin Dede: And in that, you're the exclusive supplier. 
Michael Murray : Indeed, we are. 
Kevin Dede: Okay. More of a 20,000-foot perspective, but you alluded many times in your prepared remarks to this transitional period that Kopin that you're working with Kopin and your senior managers through. I was wondering, I know you don't have a crystal ball, but I think yours is certainly clearer than mine. Mine looks more like a bowling ball. I was just wondering if you could offer what you might or how you might recommend we consider this transitional period to last. 
Michael Murray : My view and Rich and I have talked about this along with the executive team and board Kopin 2023 is a positional year and a transformational year. And there's a great deal of effort going on internally around our culture, our people and talent agenda, our organization, and our focus. And we've taken this year to really be inward-focused to make sure that we're ready for 2024 and 2025.  Because as we've talked about, Kevin, 2024 is going to be a significant revenue year for Kopin. And 2025 is going to be an even more significant revenue year for Kopin based on our current backlogs. We now have three quarters of positive books to bill and with this recent order, we're going to have a fantastic Q3 book to bill, which would be four quarters in a row of the positive book to bill. So, the order backlog is all there to have great revenue growth over the course of 2024 and ‘25.  The focus has been and continues to be building on time in full and delivering that revenue at great gross profit and margins for our shareholders. That's what 2023 is about. And I'm happy to report, and I said this before, we're on track slightly ahead of some of our strategic initiatives around the path to profitability on time in full, some of the strategic initiatives and pursuits that we have, and also our development around our technology.  So, you're going to hear more about that in Q3 and Q4. There’re some real announcements that we're excited to put out in the market when they're ready. And I think we'll hit 2024 in full stride. 
Kevin Dede: Thank you for the additional perspective, Michael. Appreciate it. And just a sort of a follow on in that thinking, Rich alluded to, with a reversal of comp accrual, the product margin would be in the 12% range, which I think is down a little sequentially from March.  Do you think, I'm just looking maybe at too short a period to evaluate your transition from I think all last year your product margin was negative? 
Rich Sneider: Well, Kevin, let me just take that for a second. If you look at it, right, so we have an overhead -- as a semiconductor overhead is a very significant piece of our overall cost, and overhead has two places to go. It's either going to end up in inventory or cost to sales via sales.  If you look at our Q2 results, vis-a-vis Q2 of last year and Q1 of this year, if you combine the inventory and sales, you'll see that as those are the two places that absorb overhead, Q2 is down significantly compared to those. But yet we maintained margin, which is a -- which means that we're greatly increasing efficiencies.  Or to put it another way, had this been -- had you been working with the efficiencies of 2022, we probably would've had significant negative margins. 
Kevin Dede: Okay. That's exactly where I was going, Rich. Thank you. All right, last question for me. I'm sure you're relieved, just maybe a little more color on how quickly you think you may be able to adopt MIT's assistance on the AI side in addressing the nausea problem that you alluded to Michael, and whether or not you think it transcends consumer and helps you in defense. 
Michael Murray: Great question, Kevin. Whether you're a warfighter, a gamer, or a doctor, everyone using a quote-unquote see through optic or AR/VR glass has the same issue. And that is the human brain interprets video information or site issue information differently. We all focus on building the great -- greatest display type technology and we think that will solve the day.  And in reality, what we're going to do is different than that. We still are going to make fantastic displays 4K, 8K 16K, 30K, whatever it is. But what we're going to do is match the technology to the human, not the human to the technology. And that I think is what you're going to hear from us in Q3, Q4, and in 2024 we're going to take our technology to the human as opposed to the other way around.  So, that's why we signed up with MIT and the CECL program. We are sitting on the shoulders of giants in that program. If you look at some of the contributors to that program, they're the best of the best in the industry, and we'll be working with them to solve these human-centric computer issues, so that folks can use our technology more easily, more readily, and with much more comfort than they ever have before. Because that's what's gating the adoption rates of AR/VR glasses and consumer as well as military and in medical. So, those are the problems that we're going to attempt to solve.  The great news is we have all the technology that we need. The piece that we're missing is the AI algorithm development side of things. And no greater place than MIT, and CECL to work on that technology. And we continue to invest in it. It's a program that I started the day that I started at Kopin, and we're very excited about it and we'll be sharing more with you in the coming quarters. 
Kevin Dede: When you look at your modules, Michael, are they extensible in handling the computations or will it require, I guess additional integration with a partner?
Michael Murray : I think the latter. I think it will require certainly more sophisticated computers that are computational algorithms that we currently cannot do in our Backplane technology, but we do have a plan for that. I think the technology is available. We know how to use it. I think what's missing for us is really the algorithm development, and the ability to trial and test our theories in an environment with others that's useful and non-competitive. And everyone in that program is working in the same direction to solve some of these human-centric issues.  So, I don't think it's a technology problem so much that we can't traverse. I think it's more of an awareness problem and a use case and commissioning issue that we need to solve. And over the next couple of quarters, you are going to see and hear how we are going to solve it as Kopin.  And I'm very impressed with the level of interest that we have gotten already this new technology platform, which we will introduce, as I said, in the next couple of quarters. We are working with a few select handful of customers to bring this forward. One of them is classified. The other one is a consumer company, and we hope to have something signed with those folks very shortly.
Kevin Dede: I apologize for misleading you, and thinking I was going to let you off the hook early. But, I do appreciate the effort. Michael and Rich, thank you very much.
Michael Murray : Thanks, good to talk with you.
Operator: Thank you. Gentlemen that was the final question. I will now hand it over to Michael Murray for closing remarks. 
Michael Murray: Thank you, operator. Q2 was a very interesting quarter for Kopin. We have made significant progress as a team, a company. Our customers are enjoying a higher on-time and full rate. And we believe this trend will continue through Q3 and Q4, and we look forward to updating you on our progress on the next call. Thank you very much for joining. We appreciate it. Take care and have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for attending. And you may now disconnect your lines.